Pierre Anjolras: Ladies and gentlemen, good morning. Thanks for joining us for the presentation of Vinci's full year results. So you'll see -- you will have noticed that our performance is once again outstanding. Today, I'm joined by the members of the executive committee, several changes of late, the appointment of Thierry Mirville, Deputy CEO, who follow-on from Christian during the course of the year. We're also with the Investor Relations team, who you know well and will be available to answer your questions. So first of all, on this first photograph, we're heading for the Bay of Biscay where VINCI Energies, Cobra and VINCI Construction are working together on the new electricity interconnection project between France and Spain, the INELFE project set to be completed by 2028. It's the largest DC interconnector line between France and Spain, the 400,000 submarine cable with 2 conversion plants. It's a fine example in Europe and elsewhere, future exponential investments in power grids. Electrical infrastructure, we, first of all, think of production infrastructure, nuclear power as well as renewable power and equally essential infrastructures, which are the power, transmission and distribution grids that require as much investment, if not. And these electrical infrastructure projects are key components of the energy transition, but to a growing extent of energy security and sovereignty; a powerful driver, possibly the most powerful driver for Vinci's business developments. Other photographs now in the Concessions business on the left, London Gatwick airport managed by VINCI Airports, a major milestone reached last autumn with the final approval by the U.K. government of the transformation plan of the Northern Runway to allow for dual use with the main runway. This will increase the airport's capacity by 20 million passengers at the turn of the decade, increasing it to 80 million. Through this decision, the British Airways pragmatic implementing the key role of air traffic in the country's economic development as well as its capital. On the right, in Brazil, Entrevias highway, 600 kilometers crossing the state of Paulo. We own 55% of Entrevias now fully consolidated in early March 2025. We resumed operations on the highway of BR-040, 600 kilometers long and the Belo Horizonte Brazil route, managing over 1,200 km of highway. It's our largest highway network outside France and Brazil to give you an order of magnitude, 1,200 kilometers, slightly longer than the Cofiroute network that we manage in France. Energy Solutions now on the left, a fine shot of the Cadiz yard from the North Sea in Germany of the offshore wind plant BorWin5, 900 megawatts for TenneT, the second such platform installed successfully by Cobra. It's a feat of engineering, not always easy to implement Cobra teaming up with Siemens Energy constitute an unparalleled tandem in the world. Cobra has 8 other contracts in its order book for a cumulative capacity of 14 gigawatts gives us visibility on the activity and profitability through to the next decade. These offshore converter platforms are strategic also for Germany's energy transition and sovereignty and more broadly, that of Europe, as was reminded recently last week in Hamburg, a joint declaration of 10 European countries that want to make the North Sea the largest hub of offshore wind, targeting 300 gigawatts by 2050 back to Germany, the second largest VINCI market internationally and will become a leading international market this year through acquisitions by VINCI Energies in that country. And growth opportunities in infrastructure. VINCI Energies isn't just expanding in Germany. On the right, EnergoBit, that's a company acquired by VINCI Energies at the end of last year in Romania. This acquisition fits fully with our plan to strengthen our leadership in electrical infrastructure. For Construction, on the left, this is Auckland, the City Rail Link, the first underground rail link of the economic capital country. Work began in 2019. This design build project will be delivered in 2026 by VINCI Construction. It's a powerful lever for social integration and also sustainable development as a rail infrastructure for Auckland. Staying in New Zealand, let me remind you that VINCI Construction announced a fortnight ago that it signed an agreement with a view to acquiring Fletcher Construction with an annual revenue of over EUR 600 million. Next ahead. Construction, this acquisition will allow VINCI Construction to strengthen its position on the very dynamic infrastructure market in New Zealand and to increase the group's annual revenue to about EUR 1.5 billion in that country. We can say that as rugby fans, we've always converted our tries in that country, both in VINCI Energies and VINCI Construction, and we hope that will continue for the current highway PPP project being looked at by the teams of VINCI Concessions and VINCI Construction. Right back to France, heading for Nantes, shown here is the construction of the new University Hospital Center by VINCI Construction and VINCI Energies. This worksite is the largest hospital construction project in Europe. VINCI Construction is deploying ultra-low carbon concrete and this worksite illustrates one of the many hospital work sites currently being executed by the group. There are some dozen such projects at VINCI Construction France, Monaco, another 10 in the U.K. and 6 in Poland. VINCI Energies, many technical work packages in hospitals and not forgetting all the contracts in the health care sector for the pharma industry. So both these projects are fine illustrations of vital infrastructure with mega trends, the environmental transition with rail or health generating countless opportunities for VINCI Construction worldwide. And I'll return to that in greater detail when I discuss the group's exposure to major mega trends. Moving to the results proper. The takeaway of 2025 for VINCI, as I said, outstanding performance in line with previous years, outstanding performance in spite of the macroeconomic and global geopolitical context that you know of the highlights. Next slide, revenue growth driven by Concessions and Energy Solutions. Revenue growth with an increase in EBITDA and operating income across all our businesses. That's what counts for us more than volume growth. What counts for us is profitable growth, net income is up and that in spite of a very significant increase in taxation in France in 2025. Free cash flow reaches another all-time high at EUR 7 billion. We'll return to that in due course. For 2026, we're banking on a further increase of activity and the group's results. And lastly, the Board proposed a dividend in respect of FY 2025 EUR 5 per share. That's an increase in excess of 5% over 2024. This outstanding performance indicates that the group's decentralized and multi-local organization of the group has demonstrated its relevance once again, it reflects the group's culture, unique culture, more about that later. On this slide, the main financial indicators. Christian will return to that in detail. At constant taxation, the net income group share would have grown 10% at EUR 5.4 billion and free cash would have reached EUR 7.4 billion. On this slide, you see that our share of revenue international outside France is close to 60% proportion increases year-over-year. It's not that revenue in France is declining on the concrete activity in the country has grown 2%. It's international that's growing faster. You see also that at 5 countries accounted for total revenue, France, U.K., Germany, of course, which tomorrow, as I said, well, our leading international market as well as Spain and the United States. You will have noted that our net income is achieved over 50% outside France. This internationalization strategy, we've been rolling it out consistently for some 15 years now, and we'll continue to do so. Some key figures by business in Concessions. Revenue growth is 5% plus 4% like-for-like EBITDA margin comes in at 66.9%, up 10 basis points (sic) [ 14 basis points ] over 2024, driven by solid tariff increases, both in airports as well as highways, both in France and international, driven by the successful integration of our recent developments; well done to our teams led by Nicolas. Concessions accounted 60% of the group's EBITDA this year. In greater detail for VINCI Airports, the momentum is sustained. VINCI Airport passenger traffic continued to grow across almost all 14 countries of the network. That's down to several factors, increased capacity of low-cost carriers, the development of long-haul routes in several airports and more generally stemming from customer demand that remains robust. Even if the post-COVID rebound is dwindling, the demand for mobility is a vital need. In total, 334 million passengers used our airports, an increase of 5% over last year, in particular remarkable progress achieved in Japan, notably a consequence of the Universal Fair in Osaka last year and recently acquired airports, Budapest, Edinburgh, the OMA airports in Mexico, Cabo Verde. All this demonstrates the discipline with which M&A is undertaken, our serious analysis as well as the momentum that we can in part to the new airport. This dynamism of passenger traffic in VINCI Airports is due to our own capacity, thanks to the network effect, our unique network of airports to offer new routes, offer new routes to airlines, 400 in 2025, and I can't resist the pleasure of just an invitation to travel to mention a few, Porto Montreal, Gatwick, Bangkok, Edinburgh, Boston, Budapest, Nantes and from Mexico, Monterey, Paris. Once again, we have collectively demonstrate that this portfolio of unique airport assets achieved many operational, technical and commercial successes throughout 2025. Autoroutes, highways in France, VINCI Autoroutes traffic posted a growth of close to 1%. VINCI Highways EBITDA continues to grow, whilst remain penalized by the tax on transportation infrastructure since 2024. We continue to challenge that before the courts. But we've renewed constructive and calmer engagement with the state as illustrated by the ESCOTA works program to ensure the good maintenance of the structure between now and the end of the Concession contract in 2032. That program was approved by the government early 2025. We just owned a new planning contract for Cofiroute with more about that later. For VINCI Highways in Denver, united States. We're doing what we said we wouldn't, faster than expected. A year ahead of time, we put in place the toll modulation system with tariffs vary depending on the time of day. That has a positive upside on revenues. In Brazil, we reviewed resumed operations of the Via Cristais and we now fully consolidate the Entrevias accounts in the group accounts. As you know, we are the leading private airport manager worldwide and handful where the leading private highway manager in the world with 8,200 kilometers of network gives us great pride and it's a fine responsibility. Energy Solutions remaining very dynamic, revenue of Energy Solutions at VINCI. Okay, let's round it off, let's say, EUR 30 billion. That's an increase of some 8% at actual structure, plus 6% like-for-like. Strong momentum in Q4. This revenue is driven by international business that represents over 60% of the revenue. This growth is accompanied by further progress in margins over 20 basis points at 7.6% positions as once again and without challenge, one of the most efficient players of the industry globally. Well done to VINCI Energies and Cobra. Energy Solutions represent almost 1/4 of our EBIT. This year confirms the excellent positioning of Energy Solutions, rate dynamic markets driven by the energy transition, the digital transformation as well as by defense and sovereignty issues. In greater detail, you can see top right that the 4 areas of activity of VINCI Energies that represent an unparalleled range of expertise. We're all posting revenue growth. You can see that VINCI Energies continues its crop in terms of external growth with about 30 a year. That's one acquisition every fortnight. Internationally, VINCI Energies revenue is up 8%, notably in Germany, the leading market, the Netherlands and also in Belgium, and in France, growth comes in at 3.4%, that's way above GDP growth. Turning to COBRA. Flow business activities remain well oriented, particularly in key markets such as Spain, Portugal and Brazil. Overall, this segment grew by nearly 5%. In large EPC projects, which happens to be Cobra's area of excellence, the strong increase in activity, plus 24% was driven by the construction in Germany of offshore electrical converter platforms for the North Sea. And also in Germany, the development of LNG regasification terminal. In Brazil, high-voltage power transmission line. And of course, we talked about that very much in July, the launch of the major PPP project in Australia. These are all strategic projects that contribute to the energy sovereignty of the regions concerned. In the Construction business revenue increased slightly. As you know, selectivity is our guiding principle in this business. And the lower revenue observed on a like-for-like basis is evidence that this selectivity policy is effectively being implemented. However, our teams successfully improved profitability by nearly 30 basis points compared with last year. So once again, excellent work the VINCI Construction and VINCI Immobilier teams. At VINCI Construction, revenue increased by 1.1% to EUR 32.1 billion despite a significantly negative ForEx impact, minus 1.5%. Market conditions vary across regions and business segments. Activity in major projects declined reflecting the phasing of progress on a number of large infrastructure projects, core flow business activities remained at a solid level, both internationally and in France, where activity increased, thanks to sustained demand for road, rail and hydraulic works as well as building refurbishment projects. Specialty activities at [ Soletanche Freyssinet ] also remained at a good level, particularly in the nuclear sector. Let me also remind you, you can see the pie chart on the screen that the vast majority in Construction revenue is generated from smaller scale projects delivered for recurring local customers, what we call our core flow business activities. And that is unusual among our top competitors. In other words, the share of major projects in our overall activity is deliberately limited representing around 10%. In the property development sector, in France, market conditions remain extremely challenging. VINCI Immobilier's teams are demonstrating our ability to stay the course despite headwinds as illustrated by the return to positive earnings in 2025. Order intake reached a high level in 2025, EUR 63 billion. Our key takeaways include flow business activities, which account for the vast majority of growth revenue in Energy Services Solutions and Construction, that remains well oriented, increasing by 3%. So order intake overall remains higher than revenue, particularly in Energy Solutions. And this means that the backlog continues to grow. I will now hand over to Christian Labeyrie, who will present the group's financial performance for the year in detail.
Christian Labeyrie: [Interpreted] Thank you, Pierre as Pierre explained, our 3 businesses delivered very different growth rates; plus 8% for Energy Services or Solutions, plus 5% for concessions, plus 1% for construction, resulting in overall group revenue growth of plus 4%. And these trends reflect differing market dynamics and geographic mixes across our businesses. This is not by chance. It's the outcome of a long-standing diversification strategy designed to reduce the group's exposure to economic cycles and geopolitical risks. This strategy enables us to grow in a sustainable manner, delivering solid results and steadily increasing cash flows year after year. To achieve this, M&A growth is a key pillar of our strategy. In 2025, changes in scope contributed plus 2.5% to group revenue growth. And for international operations, the contribution was higher at 4.1% as most acquisitions were completed outside France, and this represents close to EUR 2 billion in additional revenue. Full year impact of 2024 acquisitions, EUR 700 million, including over EUR 400 million for VINCI Energies. And the consolidation of Edinburgh Airport mid-2024 to the tune of EUR 162 million. And the 2025 acquisitions contributed EUR 1.2 million -- actually EUR 1 billion, including Conway EUR 664 million, VINCI Energies, EUR 278 million; and VINCI Highways EUR 93 million, so nearly EUR 100 million. By contrast, ForEx impact had a negative effect on group revenue of minus 1% or EUR 686 million with a significant share, EUR 462 million or minus 1.5% attributable to VINCI Construction. So the euro appreciated year-on-year against several currencies, including the U.S. dollar, 4.4%; the Canadian dollar, plus 6.5%; Australian dollar, 6.9%; and New Zealand dollar, plus 8.6%; the Brazilian real, 8.3%; and sterling, plus 1.2%. On a like-for-like ForEx basis, group revenue growth would have exceeded 5%, while international revenue growth would have reached plus 7.4%. Now the geographic breakdown. France accounts for 41% of total revenue, which means a 2% increase in line with domestic growth and inflation. Europe, excluding France, 38% of total revenue, up 9% or plus 3.7% on an organic basis. The U.K., 10% of total revenue, up 10% organic growth of 1.2%. Germany, close to 9% of total revenue, so EUR 6.5 billion in revenue, up 17% or plus 11% on an organic basis. Spain, 5% of total revenue, broadly stable. The Americas, EUR 10 billion, 13% of total revenue, organic growth plus 2.2%. The U.S., EUR 3.4 million, up 4.6%, but up 7.2% on an organic basis. Canada, EUR 2 million; Latin America, EUR 4 billion, up 6%; Brazil, 1.8%, plus 18% or plus 13.6% organically. Australia and New Zealand, over EUR 2 million, but down 10% due to an unfavorable ForEx impact. And Africa is back to growth, EUR 1.8 million, up 14%. If we look at operating profit from ordinary activities, 2025, EUR 9.558 million, representing 12.8% of revenue. So plus 6.2% versus -- that's an increase of 6.2%, exceeding revenue growth of plus 4.2%. Now comments on margin trends of VINCI Concessions. There's an impact from higher depreciation charges of VINCI Autoroute, mainly reflecting the commissioning of the A57 widening project in the Toulon area. So for VINCI Airports, there is a mix effect between the different platforms with the end of the [ Pumping ] concession. Highways, you're not seeing the impact on the slide, but we're seeing a strong increase in [indiscernible] VINCI Highways due to the consolidation of Entrevias and Denver. For Energy, VINCI Energies is seeing a margin that's up 20 basis points. And you've got to understand that this margin rate is rather homogeneous between the different divisions and business lines of VINCI Energies. It's also true for Cobra. We're seeing an improvement of 20 basis points, so 8% margin and margin levels are broadly comparable between flow business activities and EPC projects. VINCI Construction, margin up 10 basis points to 4.2%. Again, the impact is quite clustered. We're seeing that the U.K. is back in the lead. The U.K.'s profit margin is close to 4%, and this has never happened before. And this is in part due to Conway being consolidated. Now in real estate, this business was making loss last year due to restructuring and impairments for commercial housing projects. Now we're seeing an increase in the IFRS 2 expense, and this reflects the impact of the PEG employee shareholding project and an increase in employee subscription. And because the share price has increased, this has led to an impact that was higher than in 2024. And this is offset by the improved contribution from the equity accounted affiliates as well as the airports in Japan. Also Cobra's stakeholding in electrical transmission lines in Brazil. Recurring operating income, 6.2%, but we're seeing differences from one segment to another, plus 5% for concessions, plus 1%. And if we look at the breakdown, we find that there are 3 equivalent blocks, VINCI Airports and other Concessions, 31% and Energy Solutions and Concessions, 35%. Now if we look at the situation the previous several years ago, we were highly dependent on French motorways. Now there's a much better balance between the different contributions of the different segments to the group's financial performance. Previous slide, please. Now if we look at nonrecurring items, there are positive impacts of disposals in 2025, particularly the pullout from our Russian auto route activities and also our participation in access and also divestments for Cobra, including a pullout from offshore wind farm development. Now there's an increase in net financial expense because we paid over EUR 7 billion for new acquisitions in 2024, but the impact is rather limited. It's much lower than expected because of the volume impact due to the growth in debt because of the acquisitions has been offset by cash flow better than expected. And we've been -- we've enjoyed a favorable ForEx impact in particular, thanks to our strategy, partially floating rate debt. So we've been able to curb the increase in financial expense. Now if we look at our P&L, this comes as no surprise, but tax is up significantly, plus EUR 560 million, including EUR 449 million related to the [ surtax ] on large corporate profits introduced in France in 2025 and extended to 2026. As a result, we're leading -- we're seeing an effective tax rate of close to 35% versus 29% in 2024. If we restate, for that, the effective tax rate would have been 29%, broadly in line with 2024. The corporate tax rate in France increased from 25.83% to 36%. So net income, EUR 4.9 billion despite the higher tax burden in France was slightly above the 2024 level, which came to EUR 4.86 billion. Earnings per share increased by 2.6%, reflecting share buybacks that reduced the number of shares outstanding. The number of shares outstanding decreased from 562.4 million to 556 million at the end of 2025, and that's a 1.1% reduction, and this continued through 2026. As you can see, we have a new share buyback program, which will cover Q1 2026. On a constant tax basis, net income would have reached EUR 5.35 billion. So that's a 10% increase and earnings per share would have reached EUR 9.44 per share, so up 12%. Now if we look at the cash flow statement and analysis of the change in debt net for -- during the year, consolidated net financial debt decreased in 2025 from EUR 20.4 billion to EUR 19.1 billion at the end of 2025. Why? Well, first of all, because our EBITDA improved by EUR 800 million, increased more than our revenue, so up 6.4%. Also a positive change in working capital requirements and current provisions causing contribution in cash of EUR 2.5 billion, which is higher than the already very strong 2024 level, EUR 2.3 billion. What we can say is that over 2 years, thanks to strong control of working capital in 2024, we're talking plus -- we're looking at plus EUR 1.8 billion, which is comparable with 2024. And also, we have a prudent provisioning policy. So plus EUR 0.7 billion versus EUR 0.5 billion in 2024. So the group generated an additional EUR 4.8 billion in cash. Contrary to what some of you expected, this remains a strength for the group. And this reflected sustained efforts across all divisions, particularly at VINCI Construction to structurally improve our collection process for customer receivables and also our billing process, which delivered results beyond our expectations. You got to understand that Vinci's business is 90% flow business. I'm talking about construction, of course, in energy. So contingencies pertaining to major projects have much less of an impact than they used to when it comes to changes in working capital requirements. Now I'm not going to back to tax. Tax is up, financial expense is up. CapEx remained broadly stable year-on-year, EUR 4.9 billion, although there are different trends across divisions. Concessions, EUR 1.3 billion versus EUR 1.4 billion last year. Energy, EUR 2.3 billion versus EUR 2.2 billion last year; and construction, EUR 1.3 billion, same as last year. Financial investments made in 2025 amounted to nearly EUR 1.8 billion. That's the difference between disposals and acquisitions, but there's a sharp decrease compared with the EUR 7 billion in 2024 when we consolidated Edinburgh, Budapest and also the Denver Highway project. This year, what are we seeing? Well, we've seen the consolidation of FM Conway, EUR 0.5 billion, VINCI Energies acquisitions, so about EUR 400 million. And this includes 3 important affiliates in Germany. We dealt with ACS to finalize the EUR 300 million project and also integration of Entrevias. We have a 55% stake in this project in Sao Paulo in Brazil, which didn't use to be fully consolidated. And following renegotiations on governance, we're now going to integrate the debt for this project. Now the divestments amounted to BRL 300 million to BRL 400 million following the disposal of a corporate stake, in particular, in this project in Brazil, offshore activities in Brazil, the sale of access and also the sale of VINCI Highways' Russian assets. So cash return to shareholders is significant, BRL 3.8 billion, including BRL 2.7 billion in dividends paid to VINCI S.A. shareholders and also the dividends paid by Gatwick, Edinburgh and OMA to minority shareholders. Now we bought Edinburgh over 1 year ago. And this is the first year that we've been able to extract cash from that entity. Share buybacks, I talked about that, EUR 2 billion. So share issuances, EUR 0.8 billion, representing 7.5 million shares -- and we need to look at the difference between gross debt and net cash. And this is increasing over a year. Seasonality of free cash flow, that's the next slide. Nothing new under the sun. VINCI's businesses are characterized by strong seasonality in contracting activities, business volumes are lower during the winter months and I am assuming the obvious year. In Concessions, activity is particularly strong during the summer period. Fixed costs, however, remain largely stable throughout the year. So most of the group's cash flows generated in H2, particularly the last quarter of the year as illustrated by the chart. This is why it's difficult to have a reliable forecast. We did go out on the limb this year, but we were dragging our feet for that very reason previously. An additional challenge in producing reliable full year free cash flow forecastings from the group's highly decentralized organization. So over 4,000 business units, over 3,000 businesses consolidated and our BUMs, Business Unit Managers who are the core of our business, usually adopt a cautious approach when communicating the forecast. And that prudence is understandable, but the cumulative effect can result in significant variances at year-end as layers of conservatism add up. Now 10-year trend in free cash flow and net income cash conversion, we're seeing that we generated close to EUR 50 billion over 10 years, including over EUR 30 billion over the last 5 years. And this illustrates the effectiveness of the group's business model and the relevance of its -- and the power of its decentralized management organization. Secondly, and this in spite the fact that we weathered as many others, a lot of extraneous crisis during that period, thanks to the diversity of our activities and our geographical footprint and a prudent financial policy, we've been able to deliver year after year solid results. We've improved them as well as free cash flow generation. It's the fruit of the work of our business units, our thousands of BUs, all efficient companies, very customer-focused, responsive, fleet footed to take account of market changes to end our financial policy. It's not revolutionary what I'm going to say. I tend to repeat myself every time. Financial policy rests on several pillars. Firstly, it's key for us to have considerable liquidity. It's the price of liquidity, EUR 15 billion cash. That's EUR 2.4 billion increase, a credit line, EUR 6.5 billion by our banks, maturity extended to January 2031. In spite of the cyclical variations in market conditions at all times, we can generate resources to continue to invest in our businesses, seize development opportunities that form part of our strategic plan and return to our shareholders. We have to manage significant debt, EUR 34.5 billion that is actively managed. It must be refinanced regularly and its cost must be optimized. 2/3 of the debt are housed in infrastructures that we managed for long-term contracts. That's about EUR 10 billion for ASF and Cofiroute and as much on our airports. So debt service with the concession -- debt service is insured by cash flow generated by projects to calibrate fully our capital injections and optimize return on investment debt housed on projects is fixed rate, whereas corporate debt has a variable rate. At the end of 2025, fixed rate debt accounted for 46% and 34% and variable debt, 54%. We've been able to reduce the average cost of our debt by 60 bps in 2025, bringing it down to around 4.3% despite of the fact that 60% of the debt is not denominated in euros, the euro where we arrive at very low rates. It's not the case when we borrow in real. So Colombian currencies, dollar or sterling. And lastly, we're preserving our excellent credit ratings. As you know, minus A3 S&P, Moody's, they're periodically reviewed, but they're confirmed year after year. And thanks to all that, we're able to issue in 2025, EUR 5.7 billion additional debt to refinance EUR 4.2 billion. Excellent conditions. Our signature is widely appreciated by bond investors as we demonstrated successfully in January with a new ASF issue, EUR 500 million over 8 years that have cost below 3.5%. Thank you.
Pierre Anjolras: [Interpreted] Thank you, Christian, for those very clear explanations. In terms of outlook now, our outlook reflect our value creation strategy in both our long-term and short-term activities, long-term activities, mobility infrastructure. This year, VINCI has signed with competent authorities, major agreements that strengthened visibility and offer promising growth prospects in airports. I'd like to emphasize the expansion potential of the airports that we operate in addition to our M&A growth. In this complex world, one of the great strengths of VINCI is to forge relations based on trust throughout the world. And thanks to this constructive dialogue, several major agreements were signed these past few months. A few examples. London Gatwick, I mentioned we have the approval of the Northern Runway in Lisbon, Portugal. Our teams in January 2025 at the request of Portuguese authorities began to study the development of a new airport at Alcochete, Lisbon. A major milestone was reached after consultation of the stakeholders with the receipt of a favorable response from the grantor regarding the launch of the preliminary design phase. Let's cross the Atlantic. In Mexico, OMA subsidiary signed at the end of December, a new 5-year economic regulation contract defines investments over the period, around EUR 800 million as well as the associated tariff increase in Cape Verde, further investments in excess of EUR 140 million over and above those already launched early 2026, increase the airports of the island state to boost their traffic, but above all to maintain the economic and tourist dynamism in the country. We can mention the start of the launch by VINCI Airport in close conjunction with VINCI Construction, VINCI Energies, the new terminal of the Santo Domingo Airport in the Dominican Republic. In France, following a constructive and confident dialogue with the state, VINCI has just signed a new rider to the concession contract for Cofiroute. Through moderate tariff increase, it allows the application of the court decision on the composition of the increase on the regional development plan and an investment of some EUR 350 million on the network. These are essentially shared mobility investments, regional development and use of e-vehicles for electromobility. 100% of the VINCI service areas have charging stations as well as some 40 service areas, making it the best equipped highway network in the country for 2,400 charging points, that's 54 every 100 KM. Thanks to that, the number of charging stations could double. Through all these examples, our infrastructure is vital, but also changing, evolving, being renewed and needs development, many opportunities for value creation by VINCI for VINCI, both in our airports and the highways that we manage. In terms of energy infrastructure, long term. In 2025, the group decided to combine the energy production activities, essentially PV developed by Cobra Zero.e. That's the dedicated subsidiary to better nurture performance to optimize financing arrangements and asset rotation if need. Zero.e has a total capability for renewable power production of 5 gigawatts. 1.2 gigawatts in operation and 4.2 gigawatts under construction already to build to date. Cobra has invested EUR 2.3 billion in that portfolio. This investment policy is selective, targeted on limited number of geographies, Spain, Brazil, the United States and also Australia. We plan to strengthen the value of these assets with battery projects. And on the basis of this current portfolio, we're banking for this activity by 2030 on an EBITDA in excess of EUR 400 million. So furthermore, still long-term energy assets, Cobra benefits, as does VINCI Energies of long-standing expertise to implement construction and maintenance projects for high-voltage power lines, Cobra is currently in charge of 4 PPPs for over 200 kilometers of lines in Brazil and Australia. This is the beginning of an asset portfolio in the field of energy transmission lines where opportunities are numerous in Brazil. They're developing in Australia. And we believe that they will also expand elsewhere, notably in the United States. Short-term activities, all our businesses are driven by the world's mega trends. And on this slide, we're presenting a selection of 6 megatrends that we view as dynamic, both short and long term. For electrical infrastructure, the group generates over EUR 10 billion revenue with the backlog of close on EUR 20 billion. We're one of the world leaders, if not the world's largest utility, rail works, EUR 6 billion with a backlog of EUR 11 billion. Defense and sovereignty, EUR 2 billion in revenue and EUR 3 billion by way of backlog. Water infrastructure, EUR 3 billion revenue with similar backlog; digital infrastructure, we assess our revenue at EUR 7 billion, backlog EUR 6 billion; healthcare, EUR 2 billion in revenue and equivalent backlog. All these vital assets are already reflected in our figures, account for half of the revenue and 2/3 of our order intake in Energy Solutions, and that's set to continue to grow. Our order build continues to grow reaching an all-time high of some EUR 70 billion. That's over 14 months of activities. Offices visibility, we can view the future with confidence without departing from our selectivity policy margin over volume. On the right, the share of France, 29%; Germany, 20% share; and the rest of the world, 51%. Shown here is our guidance, 2026 by business. VINCI Airports' passenger traffic should continue to increase overall in line with global economic growth with various situations across region. VINCI Autoroutes in France, traffic growth should follow French economic output and that of its neighbors, including Spain and Italy. Energy Solutions are expected to see their revenue growth in a mid- to high single digit range, expected improvement of the operating margin already at the highest level in the sector. Total capacity of Zero.e in operation and construction ready-to-build could go from 5 gigawatts currently to about 6 gigawatts at the end of '26. Construction revenue, excluding ForEx impact, is likely to be broadly similar to the 2025 level with at least the same operating margin. Based on these expected developments, assuming no change in taxation, similar corporate tax rate as in 2025, VINCI will deliver further growth in its revenue in 2026, increase in its operating earnings. And further increase in its net income and as initial estimate of free cash flow, which could reach EUR 6 billion. The dividend on the basis of the remarkable performance in 2025, the free cash flow generated and confident in the prospects, the Board will propose at the upcoming shareholders' meeting a dividend of EUR 5 per share, EUR 1.05 has already been paid as an interim dividend. This would be an increase of 5% over 2024, and that would be a payout ratio of 58%. A word to remind you of our capital allocation strategy, consistent strategy for their shareholder on the right, the dividend with the payout ratio target, 60% of net income and share buybacks over and above the prime aim to offset dilution brought about by the issuance of shares to employees. The group will undertake opportunistic share buybacks based on our financial leeway taking into account M&A and the share price performance whilst seeking to maintain, as Christian said, a solid financial structure to maintain the excellent financial ratings. In terms of development on the left, we'll continue to invest in long-term infrastructure concessions, be it auto routes or airports through M&A or investing in our existing assets as well as in long-term assets for the production of renewable power storage and transmission lines. Short-term activities, the group strategy is to go all out on Energy Solutions for 20 years now. We've demonstrated our know-how when it comes to acquiring and integrating successfully new companies and the group remains open in the construction field to opportunistic acquisitions. Shown here is a summary of our capital allocation strategy over the past 3 years. Free cash flow totaled some EUR 32 billion, 3 broadly similar segments. EUR 11 billion, EUR 2.7 million for developing energy assets and PPP transmission lines, EUR 10 billion in M&A to prepare confidently our future. There are main deals over the 3 years. The equity IRR and EUR 12 billion in dividends and share buybacks. Shown here is a recap of the major acquisitions in 2025 already discussed, and I'd like to emphasize what Christian said, we regularly undertake disposals so as to optimize our ROE and improve clarity. The portfolio reviews are regularly undertaken leading possibly to an increase in investments in some assets or disposals in others. With Christian, we've just presented VINCI's financial performance for the year. It's remarkable. This ability to generate long-term value rests on a very strong VINCI culture that is shared by all that makes VINCI unique. This culture is shown on screen, is the long-term mind-set, the quest for all-round performance. We consider both financial and nonfinancial performance inextricably linked. That's the all-around performance. Our Group culture is decentralized, multi-local, agile organization, which is particularly relevant in this polarizing world. Our culture is its trusted management with common principles across its 1,400 BUs, unmatched execution policy, focus on cash generation and great discipline and cash allocation. This culture characterizes VINCI in all its businesses, in all its geographies and characterize its -- all its global assets. It's this synergy, the shared values that make VINCI a rare precious value. At least for us, it's the only way of continuing to create value long term, and we once again demonstrated in 2025, and as we'll continue to demonstrate. Thank you for listening. I'd also like to warmly thank Christian today with some emotion. Christian, you've been Group CFO, if I'm not mistaken. since January 1999. It means that VINCI duration and long term is also present in its executives and management. And if I'm not mistaken, you've just presented for the 28th time the group's financials since you were appointed, I haven't taken into account the share price performance today. 1,100% and over 3,000% with the dividends, that's an average 14% a year on behalf of the almost 300,000 employees of the Group, majority of whom are shareholders. Thank you. Well done.
Pierre Anjolras: [Interpreted] You can do just as well. Even better. Let's go with the bank. Together with Christian and the rest of the Executive Board, we are at hand to answer any questions you may have.
Eric Lemarié: [Interpreted] Eric Lemarie, CRC. I have 3 questions for starters, if I may. Question number one, future potential calls for tender as part of renewing concession contracts in France. What about the timetable following the presidential elections? The press talked about 2028. Do you have additional information on that? Question number two, the rider to the Cofiroute contract, could you please give us some color regarding how things worked out? Who approached who? We often bear in mind the political risks, but maybe those risk are lower than what we'd expect. Could we expect a similar amendments to Escota contracts or ASF contracts? Do you intend to proceed similarly? And also the EUR 300 million in CapEx, could you give us the sequencing year-on-year and also the return on capital employed for this particular plan? And 1 last question regarding free cash flow. The guidance stands at EUR 6 billion. So what are your assumptions when it comes to working capital requirement fluctuation?
Pierre Anjolras: [Interpreted] Regarding the first 2 questions, I'm going to hand over to Nicolas.
Nicolas Notebaert: [Interpreted] Now on a more short-term basis, the investment program contract with Cofiroute and also prospects for investments. As Pierre rightly said, what's important when it comes to concessions, particularly when there are legal contract disputes, always maintain dialogue. And that's what we did. And we now have a constructive dialogue. So what is disagreement all about? It's about transferring investments. In the life of a contract, a certain type of investments were not being made. So mechanically, we were able to transfer them to new types of investments, particularly for decarbonizing motorways, multimodal exchanges, reserved lanes, et cetera. So one important factor, compensation. The Court of Appeals issued a ruling in 2025 and so the increase in the TAT divisional development tax which was specific to motorways was supposed to be offset for Cofiroute. Since May 2025, the government orders for the past increase in tax and also for the future increase in tax, and this generated additional investments. And as a result, the court ruling in May 2025, plus our partnership-driven approach meant that we were able to find common ground. So you also referenced other companies. We have submitted a new joint project together with the government regarding Escota. So that's work in progress. The investigation is underway. And of course, we're not ruling anything out when it comes to ASF, but it will be a different approach. As Pierre rightly said, we have completed Stage 1 when it comes to the end of the concession contract because 7 years ahead of time, concession contracts require an agreement when it comes to residual investment we made, and that's what we did for Escota for future competitive bidding. You know that the government believes in dialogue, that's part of the France transport ambition. And they've recognized the merits of infrastructure concession contracts and also tolling for the future because when a country such as ours is heavily in debt, you got to understand that 20% to 25% of tolling proceeds come from international operations. Spain's economic growth outperforms the European average. As you know, VINCI Autoroutes, Highway -- highways are connected to our Spanish highways. So parliament will be discussing that. We will be discussing the framework legislation to prepare for future contracts now that the current -- once the current contract lapse around 2030. So we lay the groundwork for 2028, 2029. And of course, we will continue to be selective and disciplined. We will look at the terms and conditions of these contracts and see to what extent we can take part in those efforts. But we will look at the terms and conditions of those contracts in a couple of years.
Eric Lemarié: [Interpreted] Now the CapEx sequencing between 2027 and 2030. In the meantime, still CapEx underway when it comes to networks. I'm talking about new contracts. Were you talking an additional EUR 350 million in CapEx?
Nicolas Notebaert: [Interpreted] Could you please repeat the question?
Eric Lemarié: [indiscernible]
Nicolas Notebaert: [Interpreted] Well, you can do the math easily enough. There's a difference between the EUR 6 billion and the slight increase in revenue. Now that assumption is worth whatever it's worth. But there's a breakdown between working capital requirements on the one hand and the recurring provisions. As you know, we externalize our results, but we do it cautiously. There are 4,000 business units. Everybody provisions for risks that may or may not materialize. And -- it's a structural thing as far as we're concerned. So that's where part of the gap comes from and working capital requirement is managed as close to the field as possible by our operations teams and our administrative managers. And that's been a strong focus in a number of years. And the COVID period served to reveal the issue because we used to choose the path of least resistance, then we start rolling up our sleeves and now it's paying off. It's been 5 years now. And we're still reaping the benefits of those efforts, maybe not along the same proportions of the past few years because there was a catch-up effect. But this means that the EUR 6 billion estimated assumption is pretty reasonable considering the other parameters that we discussed in the press release. Yes, this affects Cobra, Construction and VINCI Energies. This was particularly true for the Construction business this year because the Construction was lagging behind the other businesses when it comes to improving its customer receivable collection processes and billing processes. Now from an operational point of view, because the global environment is trapped with increasing uncertainty, this means that our managers business unit managers are much more cautious when it comes to cash predictions. We usually estimate cash predictions throughout the project. But from this get-go, we try to be in a cash plus in a cash positive situation from the get-go because of the growing uncertainty of the global environment, irrespective of the contracts or the relationship with the customer by definition. The customer is always smarter when their cash is already in our pocket. So from an operational point of view, many talks and working capital requirement talks as well. And so our entire reporting structure is -- has been made aware of that. Now we went through a period of low interest rates. Remember, in Italy, there were 0 interest rates, sometimes even negative interest rates. And so good habits were taken back then to collect as quickly as possible. But when it comes to our vendors, the best thing we can do is pay them in due course. So it's a good thing. It's a good thing, those good habits have continued to prevail. And this explains in part the improvement in working capital requirement. And to our minds, that is a structural thing to a great extent.
Sven Edelfelt: [Interpreted] Sven Edelfelt, ODDO. Congratulations for your excellent results. And thank you, Christian, for your contributions. I have a couple of questions. Number one, regarding ANA rate, the ANA output. Could you give us some idea of the CapEx and also the phasing of the initial investments into the Alcochete Airport if you have some idea already. Question number two, Pierre, you talked about the handover between Thierry and Christian. Sometime this year, maybe at the beginning of next year, maybe you'll be willing to share your vision, your 10-year vision of the growth, maybe during a CME, Capital Markets Day. Won't that be an opportunity to add color?
Pierre Anjolras: [Interpreted] Nicolas, would you like to take this question on ANA?
Nicolas Notebaert: [Interpreted] It's a little early to give you an economic guidance. Now there are contract milestones. We are crossing those milestones and is proceeding at pace. We have an order of magnitude, EUR 8.5 billion. That's been published. Now we're going through an important phase and that's the environmental assessment. As you know, in all Western European countries, the period during which we secured that environmental authorization is an important one. So that's Phase I. That's the environmental phase. And meanwhile, we're working on the final design of the airport, so we can optimize it considering renewed air traffic constraints, which are different now than they were a couple of years ago. And we are also looking at financial mechanisms. So the figure I'm giving regarding Portugal is already 1 year old, and it will shift further based on how we optimize the projects and also based on the outcome and the environment assessment. But it's not going to start right away. This is a project that will take several years to achieve. But the order of magnitude for this airport in Portugal is EUR 8.5 billion, as I said. Now in terms of financial reporting, that's something we pay close attention to because it is important. And that's why we all gathered here today. If we look at the timetable and the content of the Capital Markets Day, we don't have a clear guidance yet, but we've put our heads together, but I can't make any promises as to the outcome.
Pierre Anjolras: [Interpreted] Other questions?
Unknown Analyst: [Interpreted] I have a couple of questions, more anecdotal questions. You talked about BESS, Battery Energy Storage Systems. Do you -- are you thinking of signing a similar contract between Cobra and Tesla, for example, regarding the EUR 6.4 billion, you gave us some idea regarding EBITDA. You gave us a figure during the presentation, but the EUR 2.3 billion when it comes to current operations, is that generating EBITDA? And when it comes to M&A, you talked about the Fletcher acquisition in New Zealand, I think, and also FM Conway. Now in terms of mergers and acquisitions, I have in mind VINCI Energies, VINCI Construction is also making acquisitions. What should we expect? Should we expect regular acquisitions internationally from VINCI Construction? Or do you have countries that you prefer when making acquisitions? And also, you talked about the EUR 7 billion in revenue for digital infrastructure. So how much -- what's the share of data centers out of the EUR 7 billion?
Pierre Anjolras: [Interpreted] Regarding the BESS, Battery Energy Storage Systems, your question is twofold. First of all, you're asking about our design and build contracting activities, VINCI Energies and Cobra are doing that. Arnaud can tell you more. Jose Maria can tell you more. And then there are investments being made in terms of long-term assets, and we are planning to invest into Battery Energy Storage Systems so as to further enhance the value of our solar PV facilities. Arnaud, anything you'd like to add?
Arnaud Grison: [Interpreted] Yes, it's true. For a number of years, we've seen a roll-up in those BESS installations and facilities for various customers in Europe. So we have an EPC positioning. We don't have a framework agreement with any battery provider or even Tesla, but most of those batteries are Chinese batteries. China is a major provider of battery technology. So it's up to the developer and to the -- it's up to the investor to decide what kind of battery they want.
Pierre Anjolras: Jose Maria?
Jose Maria Lacabex: [Interpreted] [indiscernible] Invest only for supply our projects. We are not going to do or invest in a standalone capacity. And we expect to invest at least 5 gigawatts hour for our own projects in the next 3 years. And this allows us to increase our equity IR in around 200 basis points.
Pierre Anjolras: And to add to that, we are considering, as I said in the presentation, a new investment on the renewable plants in Australia and actually an investment in a plant includes the investment in BESS. [Interpreted] Now in terms of construction, as we said before, our investment policy is an opportunistic one, usually designed to strengthen our existing strong positions where we're already feeling comfortable. Now as it happens, 2 years in a row, we had an opportunity to make the Conway acquisition in the London area. And back to back, there was another opportunity for another acquisition, Fletcher. And before that, the latest significant acquisition by VINCI Construction was back in 2018, Lane. So just because we make 2 major acquisitions back to back in 2025, 2026 means that we will do the same in 2027. It will depend on opportunities. If the opportunity arises, we'll go for it. Otherwise, we'll abstain. Now VINCI Energies, however, is more of a continuum because we have a recurring bumper crop of 30 acquisitions per annum. We're talking hundreds of millions in annual revenue, thanks to M&A. And that's part of our modus operandi. And we do it so often that it's almost akin to organic growth. But like I said, it all depends on what opportunities arise as indicated when I talked about our capital allocation policy. When it comes to digital infrastructure, I did emphasize the fact that regarding construction, flow business against 90% in major projects remaining 10%, but we could be saying the exact same thing regarding Energy Solutions. If you look at the share of EPC contracts for all Energy Solutions at Cobra, it's about 10%. For digital infrastructure, we have pretty much the same take. Now I don't have the exact figure top of mind to try and answer the question you posed, but we have major projects and there's a lot of visibility there. I'm talking data centers. And there's a lot of activity, a lot business around digital infrastructure between anything that happens between the hyperscaler and your smartphones. We're talking a lot of networks, a lot of assets. A lot of installation and maintenance contracts, a lot of cybersecurity aspects. So we have to factor it all in, into that EUR 7 billion figure. Now I said the flow business accounts for 90% of the mix. And that's much more -- that's much more recurring business than data centers. So data centers, we're talking major contracts, Cobra's EPC contracts, whenever they do want such a contract, there's a lot of visibility, and it's easy to understand. But you've got to bear in mind the recurring repeat flow business, which accounts for 86% of our contracting activities. And I know, I believe that this is a major differentiating factor when it comes to construction for VINCI. And this also explains the high quality for results. But whatever is happening around the data centers is going to fuel our business throughout the digital infrastructure segment. So yes, we do have a presence in data centers, but we mostly have a presence in the recurring multiyear flow business, what VINCI Energies calls Axians. I mean that accounts for 25% of VINCI Energies. And digital infrastructure can also be found in Energy Solutions because you can find it within a building, that's what we call [ sport ] building. You'll find that in electrical grid as well. That's what we call smart grids. Digital infrastructure is everywhere, smart grids, smart buildings, microphone please, regarding the contribution, no forecast yet. We have tentative figures only in 2023 where we have a full over 1 gigawatt on a full year basis when it comes to operations. So I can't -- I prefer not to give you a figure, first of all, because it wouldn't be significant, not even at Cobra scale, let alone at VINCI scale. But yes, this will start to generate EBITDA as early as 2026. We started generating EBITDA in 2025 a little bit because, Jose Maria, correct me if I'm wrong, operations began in June, July, started generating earnings, but I don't know how significant that is. So that is why I prefer to wait until '27 before I give you the guidance. That's how long it takes for the asset development pipeline to actually reach cruising speed.
Unknown Analyst: [Interpreted] Well done for your results. Just following up on Zero.e, 1 giga for this year, we report the figures separately as of '26. A question on airports. We see slight margin erosion, traffic increase. Could you maybe just rehearse the reasons for that? And Gatwick specifically, could you give us some color and a time horizon? And final question, you mentioned a bit more portfolio rotation going forward. Could you enlighten us as to the criteria that will be applied?
Pierre Anjolras: [Interpreted] On the Zero.e figures, I won't answer immediately, when it becomes significant, we'll report. But there's no point giving overly small numbers that can be misread. I think we'll be still in that situation in 2026. So it's preferable for us to give you an indication once these assets are in operation in -- reach cruising speed, it's far more significant. Question on the airports. A couple of questions on the airports, Nicolas.
Nicolas Notebaert: [Interpreted] So your question on the airports. Well, firstly, we regularly make acquisitions that don't necessarily have the same EBITDA EBIT margins. The annual comparisons are not always like-for-like. Secondly, that we had some one-off high turns EBITDA and EBIT in 2024 versus 2025 and EBITDA EBIT margin, very high, that's grown significantly. And final point mentioned in the presentation, I believe it was Christian, we're going to change the motor contract on Phnom Penh Airport through September. We were in full concession. We were compensated, that was a one-off of the earnings. But today, we have an operation contract for Phnom Penh Airport, which obviously doesn't have the same EBITDA or EBIT margin. Those are the prime reasons that justify this consolidation and margin on VINCI Airports. Gatwick. Color on Gatwick -- Gatwick, as we said, we have a plan that we're now rolling out the CapEx, same to that's being development, about GBP 2.2 billion for that with the latest legal challenges are underway that approval was given. But as I said, we have to follow the latest rulings. But without delay, we're launching the design and works phase, 45 million is Gatwick capacity that will grow to 80 million passengers. So with that investment, we can up the capacity significantly. On portfolio revenues, just to reaffirm that we're doing that. And Christian drawn up an inventory. I mean there are a number of significant disposals. Those are amounts in the P&L and cash. Yes, we're active. We're developing and we're active to focus and we've done that, but we've always done and we'll continue to do.
Pierre Anjolras: [Interpreted] If there are no further questions in the room, we can take questions on the call. Questions in French first. [Operator Instructions] First question, Patrick Creuset from Goldman Sachs.
Patrick Creuset: [Interpreted] Christian, congratulations for the great numbers. In your release, you mentioned the strategic review of the portfolio through your businesses with the goal of optimizing the return on capital. Could you tell us what type of asset will be involved? What will be the criteria, the potential scale of this review. And also in terms of capital allocation, how you currently assess opportunities for M&A business, region and also size?
Christian Labeyrie: [Interpreted] As I've just indicated, this principle of reviewing our portfolio concerns all our businesses, all our geographies, we do it. We'll continue to conduct that review. I'm incapable of saying to produce -- or depends what the ROE asset by asset, how to improve the Group's clarity. That would guide us, but we are not saying that these are times where we're going to increase the capital -- the volume did for M&A. There's a pipeline of M&A at VINCI Airports an M&A pipeline at VINCI Highways, at VINCI Energies and VINCI Construction that remains active for opportunities. We do that across our businesses, and we remain open to all geographies as long as we're comfortable there. And with stronger reason, we're more comfortable in geographies where we're already present, where we're already strong to do the various deals that we've mentioned. But if we go back further, without being present in Japan, we had the smart idea was from Nicolas to go to the Osaka and Kansa Airports. And Christian mentioned that. So we remain very open and very opportunistic. And similarly, we have no M&A investment targets per year. You've seen it's far lower this year than last year. And on average, that is pretty much the same thing, 3-year average. I presented that on the reflection over the past 3 years of M&A CapEx. But we're disciplined when we need to be disciplined, that is we don't do any old things. And if there are 3 or 4 deals to be sealed, Christian has the wherewithal, the munitions to strike a good deal or several good deals when we believe the time is right. And what we could add on that, says, Christian, that across our businesses, I mean we're not an investment fund. So we're not in the business of buying assets for the pleasure of buying. When we buy something, it's to nurture it, manage it to extract value through management that is a position of control even 100% in Energy, Cobra, VINCI Construction and in Concessions to be in control or co-control. If it's just to be a passive partner, not really in terms of the revenue that we contribute extensively through our work. The idea is to have a hope of improving receipts if it's a pure PPP with a fee paid linearly over the duration of the contract. It's a less interest. Cobra did in 2025 to seed its stake in a project acquired in Brazil, for which there was no upside on the traffic. It was clearly a financial deal. Once the development and construction risk is behind it can be -- can make sense to sell the asset to a pure financial player, an investment fund.
Patrick Creuset: [Interpreted] So the minority stakes that might be sold or disposed of as your portfolio rotation?
Christian Labeyrie: [Interpreted] It's possible. Look at the disposals of the year. There weren't just minority stakes or investment.
Pierre Anjolras: [Interpreted] Next question. Elodie Yvonne, JPMorgan, over to you.
Elodie Rall: [Interpreted] Yes. Sorry not to be with you this morning. Best wishes, Christian. Just to start, we sense that you're more ambitious regarding your return to shareholder policy. You mentioned opportunistic share buybacks to what level could you go and notably regarding the dividend 5%. I mean that's a priority. So clearly, that we're moving away from a payout policy so with things possible in terms of a dividend increase going forward, perhaps more dynamic, the net income. And maybe another question, if I may. Would you have a comment on the German contract, you're beginning to see the fruits of that and also highway traffic year-to-date? Are you seeing an inflection on the residential -- French residential market that you lost at '25. You see some green shoots of hope there. And I see on the portfolio review, you mentioned that at a great length, but how -- where does ADP feature in your thinking?
Pierre Anjolras: [Interpreted] On the dividends, I've spoken about that, our goal down the road was 60%. I mean if the payout ratio is to head to 60%. On the share buybacks, in fact, we're pretty much the end of the catch-up of the dilution several years. generating new shares for the group savings scheme. So we're not ruling out the possibility of going beyond that. But once again, it will be opportunistically, as I indicated, based on the capital that we have to allocate on the expansion, be it M&A or developing existing assets and depending on the share price performance. I can't give you more guidance than that. But you can say is that the dividend policy. We don't want to change it every other day. But to give some guidance that we've always done on the share buyback, there we can be more opportunists I suppose you look at the Americans who're massively buying back shares when it suits them. depending on their CapEx plan, the GAFA is spending hundreds of billions in CapEx, maybe they'll do a bit less share buyback. That's part of the financial strategy. Highly complementary dividends and share buyback, we do both. In the CAC 40, same return to shareholders in terms of its market cap as VINCI today. Next, on highway, auto route traffic, they're significant. I mean January is never significant month of January. Not much to say what to draw from that. On residential housing construction with the exception of VINCI Real Estate, that's a fine company and the impact is limited on VINCI as a whole, notably construction is not at all very little dependent on the building of new homes. It's negligible share. And so the impact of residential property development aside from VINCI Real Estate has a little impact on the Group financials. What we can say Virginie, what the market is challenging. The housing stimulus plan announced to [indiscernible]. So that hasn't yet been placed on the statute. But so we wouldn't really see the effects of that before the coming months and that we're in a year of local municipal elections that are never times that are propitious to the dynamic launch of new projects. But whatever the housing stimulus plan is a good signal for the sector to kickstart the momentum after 3 years of crisis. There's a question about Germany. Well, in Germany, there are 2 major stimulus plans. There's one for defense and stimulus package for infrastructure. From what our German teams tell us and when we ask them, we need to question them several times to get a sense of what's happening between the EUR 500 billion at federal level and twice EUR 500 billion and how it percolates down to contracts. It's not easy to read. But the sense, yes, it's beginning to be visible in defense. I remind you that in defense, VINCI Energies made an acquisition of a company SAN last year that primarily works in German shipyards for the German Navy and has very sustained activity and growth prospects. And so that momentum is part and parcel of the defense stimulus package. So for the infrastructure stimulus German teams have great difficulty in seeing a significant shift to date on that front. Arnaud? Well, what we can say is we indicated ahead of phase on energy infrastructure stimulus package, there are major needs, but they're not fast-track projects because they need authorizations, there are appeals, et cetera, a lot of design work. So it's positive over the long term, but they're not hyper growth rates short term in defense, it's production capacity. So it's positive for one sector, but it's not hyper activity, either short or medium term. But what is, however, clear is that these announcements have generated a climate of confidence and that weighs heavily in the economy of the country. And -- the Germans are fortunate in that respect. That's why it's good to be in Germany. It's good to continue to expand in Germany. And as you saw these past few acquisitions, as you saw in the contracts, be it VINCI Energy, of course, but also Cobra with the major Cobra projects in Germany, VINCI construction there for a long time. Also VINCI Highways, which is the leading operator of German highway PPPs, and we haven't seen nothing yet in terms of project launch, but that could form part of the stimulus package. We're very well positioned to benefit from that. Questions in English. If you want, you've got the translation headsets. Okay. Let's have the first one.
Operator: Our very first question from the English conference is coming from Harishankar of Deutsche Bank.
Harishankar Ramamoorthy: I have a few. Maybe the first one would be around order inflows. When I look at your outlook for 1C Energies, solid mid-single digits to high single-digit growth. But in Q4 -- till Q4, we have not seen inflows improve a lot. So does the outlook imply that you are expecting inflows to turn the corner pretty soon? The second one on the German side of things. Any time line by which that could overtake U.K. And lastly, on the working capital, I do see you referencing better customer payments and so on. But when we look at the balance sheet, it looks like trade receivables are broadly flat, whereas it's the payables that have increased significantly. So is it a question of delayed payments to vendors? And if that is the case, then is that structural?
Unknown Executive: [Interpreted] Quick answer to the second part of your question. The answer is no. It's been a long-standing policy for us to pay our vendors in due course. I don't know what it is like in other countries, but in France, the authorities pay close attention to that and Vinci has never been named or shamed with that kind of thing. we don't artificially prolong paying our vendors.
Pierre Anjolras: As for the order inflow, it's complicated to look at quarter-by-quarter. And I think what you have to do is in the 12 months rolling. And another thing is the order inflow of SCNG was impacted also by a very large project in the past years. And when you restate that of the very large project, over EUR 50 million, the order inflow is still increasing. I think it's plus 4% this year. So yes, there's no worry. And as the guidance is supported by the -- what we see in the order inflow.
Unknown Executive: We need to be very vigilant when it comes to analyzing the order inflow because VINCI has a lot of multiyear contracts, a lot of recurring business. So usually, we input the contracts at the beginning of the year. So during the year, we burn through the contracts that came in the year before, and we generate business for the year after. And this is true for VINCI Energies as well as other players. Now regarding the question on Germany, these are our estimates. Next year, revenue for VINCI in Germany will be higher than VINCI's revenue in the U.K. I'm not saying that the U.K. revenue will go down, but we will simply grow ours faster. In 1 year's time, things will have been reversed. Germany will be our second international contributor to revenue after France. That's our prediction. Next question.
Operator: Our next question is from Ruairi of RBC.
Ruairi Cullinane: Congrats on the results. One question on tax. So do you think the tax targeting large French corporates specifically needs to be exceptional to be constitutional? Would you challenge this tax if it became an even more regular feature of French budgets? Yes, I'll leave it there.
Arnaud Grison: [Interpreted] Don't ask me, ask the government and ask parliamentarians. We can answer that question, particularly since last year, the surcharge was presented as a one-off thing that would apply just that year. And we're almost at the end of the budget approval process because it's been through parliament. So without too much surprise, that surcharge, that surtax is going to be approved and this means that a promise was made to us last year, but they're not keeping it. So I can't possibly tell you what will happen in a year's time. We do realize that for a while now, SME leaders and corporate leaders in France, major corporation CEOs are making statements to the effect that this goes on for too long. Tax-wise, France will be less competitive than the rest of the EU member states, and this could actually hurt the French economy. I think as the Head of Total Energies, who said that if corporations have a choice between 2 countries where the tax rate is 15% to 30%, what do you expect them to do? Where do you expect them to go? So -- and there's also an impact on the surrounding ecosystem, the employees, the vendors, suppliers, et cetera. So reason should prevail at some point. You can't continue to hurt the French economy's competitiveness compared with Spain, Italy, the U.K., Germany, et cetera. So we can hope that eventually reason will prevail. Who knows... Let's move on to the next question.
Operator: We have a question from Nick Mora, Morgan Stanley, a question in French.
Nicolas Mora: [Interpreted] Congratulations, Christian. I'm sure you're looking forward to retirement. [Indiscernible] To sell shares here. Now profit margin, let's start with that. Could you please give us an update on the upside for construction, Energies, Cobra, AS. So 2025 went pretty well overall. Profit margin was driven by M&A in construction and also profit margin for Cobra is being driven by renewables. So -- is that just a medium-term thinking? Or are you expecting that the improvement of 20 basis points to continue year after year? Now regarding airports, profit margin is under pressure -- was under pressure in 2025. If we look at '26 and '27, what should we expect? We're seeing an increase in costs. We look at the U.K. business rates. Prices are being moderated. Now the traffic situation is so so. So do you think that profit margin has already passed its peak?
Arnaud Grison: [Indiscernible] Nick Mora -- regarding our contracting business, there's still potential. But we've been seeing it for a while now and yet people struggle to believe us. And this is true for construction as well. Thierry Mirville gave us a chart regarding the past 10 years, showing a regular steadfast increase in construction EBIT and also a cash conversion pattern that is as good as VINCI Energies and Cobra. So yes, those are value contributors and the value should be assessed properly. And needless to say, VINCI Energies and Cobra, you heard this several times in the course of the presentation is actually being supported by all customer requirements. There's so much to be done. So obviously, we're not going to double the profit margin, but there's still room for margin to continue to thrive. And the guidance has been set accordingly. Now how long will that last? It's hard to say. But yes, over the short term, we expect that trend to continue. When it comes to airports, that's slightly different. Nicolas can tell you more about that. We have a mixture of different platforms and each platform has its own trajectory. Nicolas, why don't you go ahead?
Nicolas Notebaert: [Interpreted] And sometimes it takes a while for the effect to be fully felt. Now we have a new economic regulation contract in Mexico, as we said before. And -- so we're talking 6% to 7% above inflation over the 5-year period, which is good enough already because usually, our method is based on regular capitalization. And clearly, this platform has been outperforming the sector. Obviously, we've got London Gatwick and we've got the Lisbon Airport. So there will be regulatory discussions as well. So we haven't yet set the course in terms of tariffs, but we are aligned with inflation. So future expectations in terms of profit margins from airports have yet to reach the peak. But the situation is highly fragmented geographically, so is growth. But the recent news regarding Mexico is showing that these 5-year contracts are helping us to renegotiate so as to renew our profit margin prospects in the future.
Operator: [Interpreted] Very well. If there's nothing further, if there are no other questions. Over to you, Pierre, for the conclusion.
Pierre Anjolras: [Interpreted] Well, thank you so much for attending. Enjoy the rest of the day. Enjoy the rest of the year and see you very soon.